Operator: Welcome to Ormat Technologies Fourth Quarter and 2019 Year End Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note the event is being recorded. . I would now like to turn the conference over to Mr. Rob Fink, of FNK Investor Relations. Please go ahead.
Rob Fink: Thank you, operator. Hosting the call today are Isaac Angel, Chief Executive Officer; Doron Blachar, President and Chief Financial Officer; and Smadar Lavi, Vice President of Corporate Finance and Investor Relations. Before beginning, we would like to remind you that the information provided during this call may contain forward-looking statements related to current expectations, estimates, forecasts and projections about future events that are forward-looking as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements generally relate to the company's plans, objectives and expectations for future operations, are based on management's current estimates and projections, future results or trends. Actual future results may differ materially from those projected as a result of certain risks and uncertainties. For a discussion of such risks and uncertainties, please see risk factors, as described in Ormat Technologies Annual Report on Form 10-K and quarterly reports on 10-Q that are filed with the SEC. In addition, during the call, the company will present non-GAAP financial measures, such as adjusted EBITDA and adjusted net income attributable to the company's stockholders. Reconciliations to the most directly comparable GAAP measures and management's reasons for presenting such information is set forth in the press release that was issued last night as well as in the slides that are posted on the company's website. In costes measures are not calculated in accordance with GAAP. They should not be considered in isolation from the financial statements prepared in accordance with GAAP.  Before I turn the call over to management, I would like to remind everyone in a slide presentation accompanying this call may be accessed on the company's website at ormat.com under the presentation link that's found on the Investor Relations tab. With all that said, I'd now like to turn the call over to Isaac. Isaac, the call is yours.
Isaac Angel: Thank you very much, Rob, and good morning, everyone. Thank you for joining us today. Starting with slide 5. The fourth quarter was a strong ending to a good year for Ormat as our results exceeded the guidance for revenue and were within our guidance for EBITDA. We achieved growth overcoming some significant challenges that materially impacted our results. In particular, our power plant generation and overall revenue grew despite the loss of production from Puna facility in Hawaii for the entire year. We are delivering financial results with top and bottom-line growth. This is a strong testament to our revenue and geographic diversity our operation efficiency and the professionalism of our team. Overall, our total revenues for 2019 increased 3.7% to $746 million. With our electricity segment revenues growing 6% to $540.3 million, benefiting from new facilities brought online at the end of 2018 and as well as contributions from our acquisition of shorter. Our product segment revenues declined as expected, but our margins in this segment have normalized. Overall, we are well positioned for continued success in 2020 and going forward. As Puna is expected to come back online in the second half of 2020 and as we continue to benefit from incremental capacity from our projects currently under construction and enhancements. Additionally, I announced last night that I will be retiring as CEO of Ormat on July 1, 2020. I do so after proudly leading Ormat for the last 6 years and take in the knowledge that our Board has put in place an orderly management succession plan. Furthermore, as I will discuss shortly, I look forward to continuing to contribute to Ormat's success following my retirement. I'm excited that the Board has appointed Doron, Ormat’s CFO as my successor. Doron joined Ormat 1-year before me and has played a key role in orchestrating and executing the operational transformation of our company. Doron offers both a deep understanding of all aspects of Ormat's business combined with the strategic vision of the company's future. Over the past 7 years at Ormat, he has proved himself as a talented and thoughtful leader that will demonstrate the ability to drive mergers and acquisition and operational excellence. I can think of no better choice to succeed mainly in Ormat. And I look forward to supporting Doron and his team in Ormat's continued growth and success. With Doron transitioning into the CEO role, we are also pleased to welcome Assi Ginzburg who will join our Ormat as our new Chief Financial Officer in May. As he serves as an Executive Vice President of the Delek U.S. Holdings and Chief Financial Officer of Delek Logistics, 2 U.S.-listed companies. During his more than 15 years with Delek, Assi developed an in-depth understanding of an enterprise with a business and operation that has similarities to Ormat. Assi’s experience in Corporate finance, financial planning, tax and accounting and investor relations will be invaluable to Ormat. Finally, as part of our succession plan, I will remain employed at Ormat throughout December 31, 2020, in order to support the management team. Furthermore, I have accepted with gratitude the Board's invitation to join it as a Director. Now I will turn the call over to Doron for a review of financial results before I provide an update on our operations. Doron, please.
Doron Blachar: Thank you, Isaac, and good morning, everyone. I would like to thank Isaac and the Board of Directors for their confidence in me. I look forward to moving to my new role as CEO, leading Ormat's devoted and professional team. Let me start the review of our results on slide 7. Total revenues for the full year 2019 was $746 million up 3.7% from prior year. Our cost of revenues increased 6.2% to $476.7 million in 2019. Breaking this down, the electricity segment grew 6%, representing 72.4% of total revenue in 2019, while product segment revenues declined 5.3%, representing 25.6% of total revenues in 2019. Energy Storage and Management Services segment revenues nearly doubled year-over-year to $14.7 million and represented 2% of our total revenue for the full year of 2019. Moving to slide 8. Revenues in our Electricity segment were $540.3 million for the full year 2019, compared to $509.9 million in 2018, primarily driven by commencement of commercial operations of the third phase of McGinness Hills Complex in December 2018 and a Kilauea expansion in mid-2018 as well as by the contribution from U.S. Geothermal acquisition in mid-2018. This was partially offset by the shutdown of the Puna plant following the volcanic eruption in May 2018, and by a decrease in generation due to curtailment by the offtaker in the Olkaria Complex in Kenya. Cost of revenues increased 4.9% to $312.8 million for the full year of 2019. This increase was primarily attributable to additional costs related to the power plant that were added during 2018 that I just mentioned. Turning to slide 9. Product segment revenue were $191 million for 2019, compared to $201.7 million in 2018. The decrease in revenue related to timing of revenue recognition of the projects included in our backlog. Cost of revenues in the Product segment were $146 million, up 3.8% compared to 2018. The increase in cost of revenues in this segment was driven by increased competition in different Product segment is compared to 2018. On slide 10, the Energy Storage and Managed Services segment contributed $14.7 million of revenue for the full year 2019, compared to $7.6 million in 2018. This growth was mainly driven by the start of operations of two energy storage facilities in the PJM market. Moving to slide 11 for a discussion of our total gross profit and margin. Full year 2019 consolidated gross profit was $269.3 million, resulting in a gross profit margin of 36.1% compared to gross profit of $270.4 million and gross profit margin of 37.6% in 2018. On slide 12, gross margin for the Electricity segment expanded year-over-year to 42.1%. The improvement was primarily due to the addition of new power plants added during 2018. Gross margin included $12.6 million of additional cost of revenues related to Puna in both 2019 and 2018. Excluding the impact of Puna, gross margin was 44.1% in 2019 compared to 41.9% in 2018. In the Product segment, gross margin of 23.6% in 2019 compared to 30.3% in 2018. In the second half of the year, we began to see margin improvement in the Product segment as anticipated and expect continued improvement as we move forward normalized loss to move forward. So, normalized margins between 23% and 27% for this segment of our business. Energy stores and management services reported a negative gross margin as we expected. Turning to slide 13. Selling and marketing expenses for the full year 2019 were $15 million compared to $19.8 million for 2018, a decrease of 24%, primarily due to a $5 million termination fee of the Galena 2 PPA in 2018. Excluding this termination fee in 2018, selling and marketing expenses represented 2.1% of revenue compared to 2% for 2019. G&A expenses for the full year 2019 were $55.8 million compared to $47.9 million for 2018, an increase of 16.6%, primarily attributable to a $10.3 million earn-out income adjustment related to the acquisition of our relative business in 2018, partially offset by costs related to the statement of our 2017 financial statements and costs related to the acquisition of USG. G&A expenses for 2019 represented 7.5% of total revenue compared to 8.1%, excluding the earn-out adjustment for 2018. Turning to slide 14, operating income for 2019 increased 4.7% to $193.8 million compared to 2018. The increase was primarily related to the interest in our electricity segment gross margin, partially offset by a decrease in our product segment gross margin. On Slide 15, you can see the breakdown of the operating income by segment. Turning to slide 16. Net interest expense for 2019 was $80.4 million compared to $70.9 million last year, an increase of 13.3%. This increase was primarily attributable to new loans and details on the slide, offset by lower interest expense as a result of principal payments of long-term debt. Turning to Slide 17. The income tax provision for 2019 was $45.6 million compared to $34.7 million in 2018, an increase of $10.9 million. Our effective tax rate for 2019 of 33.2% compared to 25.3% for 2018. The variance between the two periods is primarily due to the composition of our income before tax in different countries and changes related to valuation allowance in the U.S. looking into 2020. Currently, we expect the tax rate to be between 30% to 40%, excluding the impact of one-time item. For masticated net income attributable to the company's shareholders of $88.1 million or $1.72 per diluted share compared to $98 million or $1.92 per diluted share for 2018. Net income attributable to the company's shareholder was significantly impacted by the increased effective taxes. Adjusted net income attributable to the company's stockholders for 2019 of $74.8 million or $1.46 per diluted share. Adjusted net income attributable to the company's stockholders for 2018, $106.1 million or $2.08 per diluted share. Adjusted diluted EPS, without the impact of Puna was $1.60 per share and $1.95 per share for 2019 and 2018, respectively. Turning now to slide 19. I would like to now go over a few quarterly financial highlights. Total revenue for the fourth quarter of 2019 were $192.4 million, up 1% for the prior year period. Breaking this down, the electricity segment grew 4.4% to $144.4 million, while product segment revenue decreased 11.9% to $43.8 million in the fourth quarter 2019. Energy Storage and Management Services segment revenue were $4.3 million in the fourth quarter of 2019 compared to $2.4 million in the fourth quarter of 2018. On slide 20. Total gross margin for the fourth quarter of 2019 was 38.7% and compares to 47.7% in the prior year quarter. Gross margin for the electricity segment was lower at 43.6% compared to an unusually high gross margin in this segment in 2018, which benefited from $12.1 million of insurance proceeds related to Puna received in the fourth quarter of 2018. Excluding the impact of Puna, gross margin was 41.2% in 2019 compared to 43.7% in 2018. In the product segment, gross margin was 28.2% in the fourth quarter of 2019 compared to 32.2% in the fourth quarter of 2018. Energy Storage and Management Services made segment reported a negative gross margin as we anticipate. Turning to slide 21. Operating income for the fourth quarter of 2019 was $54.5 million compared to $68 million for 2018, a decrease of 19.9%. The decrease was primarily attributable to the insurance proceeds received in 2018 from the full insurance claim I just mentioned. On slide 22. For month reported net income attributable to the company's shareholders for the fourth quarter of 2019 of $12.6 million or $0.24 per diluted share compared to $18.2 million or $0.36 per diluted share for the fourth quarter of 2018, a 33% decrease. Adjusted net income attributable to the company's stockholders and diluted EPS for the fourth quarter of 2018 of $21.3 million or $0.42 per diluted share. Without the impact of Puna, adjusted net income attributable to the company's stockholders of 15.9% or $0.31 per diluted share and 16.9% or $0.33 per diluted share for 2019 and 2018, respectively. Turning to slide 23. Adjusted EBITDA for the year increased 4.4% to $384.3 million in 2019. Adjusted EBITDA without the impact of Puna, increased 8.7% to $385.5 million in 2019, up from $354.7 million in 2018. By segment, the electricity segment generated 91% of the total EBITDA in the full year of 2019. The product segment generated 9% of the total EBITDA for the full year of 2019. The Energy Storage and Management Services has a negative adjusted EBITDA of $600,000. Moving to Slide 24. Adjusted EBITDA was $102.2 million for the fourth quarter of 2019, down from $113.2 million in the fourth quarter of 2018. Adjusted EBITDA without the impact of Puna, increased 1.1% to $104.7 million in 2019, up from $103.6 million in 2018. Reconciliation of EBITDA and adjusted EBITDA are provided in the appendix slide. Turning now to Slide 25. Cash and cash equivalents and restricted cash and cash equivalents as of December 31, 2019 was $153.1 million compared to $177.5 million as of December 31, 2018. The accompanying slide breaks down the use of cash for the current month. Our long-term and short-term debt as of December 31, 2019, was $1.2 billion, net of deferred financing cost, and its payment schedule is presented on Slide 23. The average cost of the debt for the company is 4.7%. Our net debt as of December 31, 2019 was $1.1 billion. Turning to Slide 27. Let me speak briefly to our financing activities during the year. For the full year 2019, we successfully raised approximately $242 million in the aggregate. Including $59.3 million proceeds related to the tax equity partnership from McGuinness Hills 3. Overall, Ormat is well positioned with asset access to additional capital to fund future initiatives. On February 25, 2020, the company's Board of Directors declared approved and authorized payment of a quarterly dividend of $0.11 per share pursuant to the company's dividend policy. The dividend will be paid on March 26, 2020, to shareholders of record as of the close of business on March 12, 2020. In addition, we expect to pay a dividend of $0.11 per share in the next three quarters. That concludes my financial overview. I would now like to turn the call to Isaac for an operational and business update. Isaac?
Isaac Angel: Thank you very much, Doron. Turning to Slide 29 for a look at generation. Year-over-year, power generation in our power plants increased by 6.5% from 5.9 megawatt hours in 2018 to 6.2 million megawatt hours in 2019. This increase is attributed to the addition of McGuinness Hills Phase 3, the expansion in Kenya and the acquisition of USG Geothermal's assets as well as the new key generation in constant power plant, with the addition of the solar system. The increase was partially offset by the shutdown of our Puna power plant following the volcanic eruption and curtailment by the offtaker in the Olkaria III complex in Kenya. As you can see on Slide 30, we adjusted the generation capacity of our existing power plants based on their performance, and we expect continued adjustments and enhancements to optimize plant performance. In Don Campbell, we see some temperature decline of the resource and in McGinness the complex is performing a bit better than expected. In Zunil power plant, according to the PPA, revenues used to be calculated based on 24-megawatt generating capacity, and it was unrelated performance of the reservoir. In 2019 and onwards, revenues are calculated based on the actual generation of the power plant and therefore, the generation capacity was updated to reflect the current generation. Turning to slide 31. Let me spend a few moments providing an update on the situation at Puna. As of today, there is reconstruction of efforts at Puna continue. A building permit that is required for the construction of the substation was received recently. HELCO continues with the efforts to complete the upgrade of the transmission line, and we expect these efforts to end by mid-2020. On the field side, we completed the drilling of one of the production wells that was blocked immediately after flow test. We continue our field recovery work, which includes redrilling of existing wells, clean out and drilling of new wells as we expect is power generation flow testing during the second quarter. Commercial operation of Puna power plant and the full capacity is expected in the third quarter, assuming all permits HELCO received. Transmission lines upgrade is completed, field recoveries successfully achieved. Our expected EBITDA from Puna in 2020 is approximately $14 million. Let me speak on the insurance situation for a moment on slide 32. As discussed in previous calls, we maintain coverage for property and business interruption scenarios, provided by a consortium of insurers. As of the end of 2019, our total claims stand at approximately $68 million, while we received only a total of $21.2 million since the start of the event. We have filed a lawsuit against the insurers that do not accept our claim. Moving to slide 33. And we firmly believe that our operations in Puna will continue to contribute to our operations in the long term. In parallel, with our recovery work Puna, we recently reached an agreement with HELCO and signed a new PPA that was filed with the PUC for approval. The new PPA extends the current terms until 2052 and increases the current contract capacity by 8 megawatts to 46 megawatts. This new PPA will replace the prior PPA when the new 46-megawatt power plant reaches -- reach commercial operations, expected in the first half of 2022. The energy rate under the contract is fixed at $70 per megawatt hour for all energy purchased during any contract up to 227 million -- 227,000-megawatt hours and $40 per megawatt hour, about 227,000-megawatt hours. In addition, annual capacity payments under the contract are approximately $19.5 million. In connection with the execution of the new PPA, we effectively terminated the lease transactions involving the original power plant, which provides us the ability to satisfy our obligations under the new PPA. As a result, we paid $20.5 million and have no obligations for future lease payments as of December 31, 2019. Moving to slide 34. We remain on track with our near-term growth, and we plan between 180 and 200 megawatts of geothermal and solar power plant by the end of 2022 from organic growth. This target is supported by the list of potential projects presented on the slide. In mid-2019, we began operation of our first ever geothermal and solar hybrid project, a 7-megawatt AC solar expansion of our Tungsten Mountain geothermal project in Nevada. The electricity generated from the tungsten solar power plant is used to offset to -- the equipment energy use facility, thus increasing the renewable energy delivered by the project. The Steamboat Hills, a part of our Steamboat complex, we are replacing the old power plant equipment with our new advanced technology equipment that will eventually increase the capacity of the complex by approximately 19 megawatts and reduced maintenance costs. Equipment has been delivered to the site and construction is ongoing. We expect commercial operations to begin in the first half of 2020. In Heber Complex in California, we are in process of repowering the Heber 1 and Heber 2 power plants. We are replacing the steam turbine and the older equipment with our advanced technology equipment that will add a net capacity of 11 megawatt, following these enhancement, we expect capacity of the Complex to reach 92 megawatt. Permitting, engineering and procurement are on board. Manufacturing, construction of equipment commence in the fourth quarter of 2019, with expected commercial operation in early 2021. We plan to develop the CD4 30-megawatt air cool geothermal binary power plant near our Mammoth Complex, California. We recently announced the signing of an additional two PPAs, and now we have secured the full capacity expected for this project. These two PPAs were signed with Silicon Valley Clean Energy and Monterey Bay Community Power that will purchase 7 mega each and 14-megawatt power together. Engineering and procurement for the construction of CD4 projects have started, and we expect this project to come online at the end of 2021. At North Valley in Nevada, following exploration activities, we reduced the expected generation capacity due to recent indication of world free injection limitation. In our operational assets, Olkaria, Bua, Puna and McGinness Hills, we expect to add more capacity by enhancing their current operation. As you can see in the table, we also expect new power from solar projects. Wister Solar was released for construction and will add 20 megawatts in 2021. And we also plan to replicate our success successful hybrid system at tungsten in the Steamboat complex, adding 5 megawatts of solar power. Turning to slide 35. We continue to expand our geothermal development inventory and add new prospects to support our future organic growth. As of today, we have around 41 prospects worldwide. Turning to slide 36, for an update on our backlog. Our product segment backlog was approximately $142 million. While this is down from period-to-period, we are close to signing, a significant contract, which is -- which if sign would replenish our backlog. Fluctuations in this segment of our business are not uncommon. As the type of the contract and the way revenues are recognized, may lead to volatility. We are working on, new opportunities, in New Zealand, Indonesia and the Philippines, to diversify and grow our revenues. In these three countries, we identified several projects that may mature and contribute to our backlog. We are also watching closely to Turkish Market. And its current legislation, which expired, at the end of 2020 will be extended we may have further opportunities, in this country. As our electricity segment continues to strengthen and grow the volatility of the product segment in revenues and margins, will have relatively less of an impact on our overall financial results. Turning to slide 37, for an update on, our energy storage and management services, we continue to utilize our engineering expertise, resources and access to capital to build presence in the energy storage market. Our efforts in battery storage activity remained focused on greenfield development, as well as M&A. And joint development opportunities. In 2019, we commissioned two projects in New Jersey and one in Vermont. We are successfully creating a diversified storage portfolio in this market, spanning multiple regions in the U.S. We are in advanced stage of acquiring a new portfolio of both operating energy storage and projects, under development. In order for a storage project, under development to be ready to move into EPC phase, which requires site control and interconnection agreements, permits from all authorities and variable financial model. Our development pipeline, including the new addition, we expect to secure consists of multiple projects, in different development stages, of which we expect between 150 and 200 megawatts, to be commissioned between 2020 and 2022. Moving to slide 38, in December 2019, the stock extenders package was signed into law and retroactively revised, extending the full PTC for geothermal facility. The PTC provides a tax credit of 2.5 cents for each kilowatt hour of energy produced by the taxpayer from qualified geothermal energy projects that starts construction, by December 31, 2020. The extension of the tax credits, supports and enables us to accelerate our mid-and long-term growth in the U.S., by improving project economics and feasibility, enabling us to build new projects, even prior to signing a PPA. And to sell their electricity output in the merchant market on spot, until an acceptable long-term PPAs obtained and signed. This approach will enable us to maximize benefit from the PTC, at the same time, increase our growth pace in the United States, while maintaining our hurdle IRR. Turning to slide 39, our estimated capital needs in 2020, include approximately $134 million for capital expenditures for construction of new projects and enhancement to our existing power plants and management released for construction. In addition, we estimate additional $198 million for the exploration and development that will not get released for full construction, maintenance of capital expenditures, construction and development of storage project and enhancement to our production facilities as detailed in the slide. In the aggregate, we estimate total capital expenditures for 2020 to be approximately $332 million. In addition, we expect $185 million for long-term debt repayment in 2020, an additional $41 million for repayment of short-term revolving lines of credit that we assume will be renewed. Please turn to slide 14 for a discussion of our 2020 guidance. We expect full year 2020 total revenues between $720 million and $740 million, with electricity segment revenues between $560 million and $570 million. We expect product segment revenues between $140 million and $150 million. Revenues from energy storage and demand response activity are expected to be between $15 million and $20 million. We expect 2020 adjusted EBITDA between $405 million and $415 million for the full year. We expect annual adjusted EBITDA attributable to the minority interest to be approximately $26 million. In summary, this was a strong year for Ormat and with several catalysts, including the expected, the commencement of operation at Puna, the expected contract in our product segment and new signed PPAs and the extension of PTC, we are well-positioned for the future. With the progress in the storage market, we are increasingly positioned as a leader in renewable energy beyond geothermal. This concludes our prepared remarks. And I would like to open the call for questions. Operator, if you please.
Operator: We’ll now begin the question-and-answer session. [Operator Instructions] First question comes from Mr. Paul Coster with JPMorgan. Please go ahead.
Mark Strouse: Yeah. Thank you very much for taking our questions. This is Mark Strouse on for Paul. Just start off with a congratulations on the retirements as well as the promotion. First question, Doron, maybe, are you able to quantify the impact to the 2020 revenue guidance from the delay in Puna?
Doron Blachar: We originally hope that Puna will gradually start in Q2 and get to full operations in Q3 and onwards. So the full operation is something that we still expect. So that we estimate the impact on Q2 of few million dollars, maybe $3 million, $4 million on the EBITDA.
Mark Strouse: Okay. And then looking out at your year-end 22-megawatt addition target. Does that include Puna coming back online? Or would that be in addition to Puna coming back online?
Doron Blachar: So Puna is in the numbers. Puna is in the megawatt numbers…
Mark Strouse: Okay. Okay.
Doron Blachar: … not in the addition, but not in the addition any more.
Mark Strouse: Okay. So $180 million to $200 million would be on top of the 38 to 46 from Puna?
Doron Blachar: Yes. That is all associated.
Mark Strouse: Okay. Great. Thank you. And then lastly, can you just give a bit more color on the potential magnitude of what replenishment means for product backlog? I mean, is that getting you back to where you were a couple of quarters ago to a year ago? Any color there would be helpful. I understand you're probably limited in what you can say, just given your new negotiations, but appreciate it.
Isaac Angel: Mark, this is Isaac, and thanks for your congratulations. Look, we are saying in the last six years that at the end of the day, because of the bumpiness of the product segment, we are pushing very hard the Electricity segment to be percentage was much higher. And as a matter of fact, 2019 product segment EBITDA presented only 9% of the EBITDA of the company as a total. But regardless to say -- and our projections for the last three years were basically around, if you recall, $160 million to $170 million. But eventually, a few of the markets booming, we did much higher numbers than that. This market namely being the Turkish market in the last 2.5 years, three years, because of political and financial reasons, the Turkish markets stopped. And even though there is a huge potential over there. We are not expecting it to be back in 2020, but maybe in 2021 and 2022. The company prepared itself for this issue in the Turkish market, and we concentrated in three other geographies namely New Zealand, Indonesia and the Philippines. Our expectation that one of countries, not expectation actually, as we said in the script, that we are expecting the first or one of these contracts to kick in sometime early 2022. But again, as I said, it may or may not happen. And it will happen, it will replenish 2020, sorry. It will replenish the backlog and the backlog will be again higher than before. It's a matter of timing. And we will obviously announce it whenever it will kick in.
Mark Strouse: Great. Okay. That's it for us. Thank you very much.
Isaac Angel: Thanks, Mark.
Operator: Our next question comes from Noah Kaye of Oppenheimer. Please go ahead.
Noah Kaye: Thanks. Good morning. Appreciate you taking the questions. And yeah, again, as the previous analysts, congratulations Isaac on your pending retirement. And that's Doron the CEO role. We wish you both well and look forward to it.
Isaac Angel: Thank you very much.
Doron Blachar: Thank you very much.
Noah Kaye: So I might not have caught this in the prepared remarks. What was the drivers of the lower year-over-year Electricity segment gross margin performance?
Doron Blachar: I think the year-over-year gross margin segment had a very small difference. The main difference relates to the insurance process that we receive from Puna. So, once you exclude these differences, you can see that actually, gross margin in fiscal 2019 was 44% compared to 42% in 2018. So, actually, gross margin, excluding the Puna impact went up.
Noah Kaye: Okay. But it says in the slide 20 that without Puna, 4Q 2019 was 46.9% and without Puna, 4Q 2018, it was 48.6%. So, its 150 bps decline year-over-year?
Doron Blachar: Yes. Yes.
Noah Kaye: For your gross margin--?
Doron Blachar: Yes. Yes, I responded to the annual level in the Q4 2018. It is the difference between 2019 and 2020 related to weather issues. Nevada had extremely hot Q4, temperature were much higher than normal. And as you know, our power plants are air cool. And whenever there is a very hot temperature, there is an impact on the -- on this from the power plants.
Noah Kaye: Okay, that's helpful. Thanks. North Valley, that's a Greenfield project, correct?
Isaac Angel: It's a Greenfield project, again to the existing intermediary project that we acquired from U.S. Geothermal. And basically, it was a development project which arrived together with the deal, and we are developing it right now.
Noah Kaye: Right. With the downsizing of the expected resource. Obviously, the economics still meet the hurdle rate or it wouldn't be in your pipeline. Just -- would that be the case without the PTC, how did that play into it?
Isaac Angel: Look, the PTC is basically a completely new era in Ormat. As you probably know, that we never build the power plant without a PPA before. And because of the PTC now, the company decided to start building and operating power plants and sell them on the market, expecting to a PPA that will kick-in during the life cycle of the project. Our expectation is that with the growing RPS, specifically in Canada -- sorry, in California and Nevada and other states, that the electricity prices for green energy will be higher than today. And we expect that -- and our IRR number is with the PTC on those power plants. And you should also remember that our costs are going down year-after-year to build those power plants. So, basically, starting 2022, our model is a bit changing and we will be building power plants prior to PPA received from affinity or a customer.
Noah Kaye: Okay. You'll build the power plants starting in 2022 with which projects are we referring to here? You're talking about metals and –
Isaac Angel: We – now Bouillante is outside of the U.S., it's in the Caribbean but we have a list of prospects, which are in the list. I don't recall the exact number of the slide. But you can look at the 10-K and feel list of those projects, which are prospect to be built within those – within the PTC initiative.
Noah Kaye: Okay. Okay. If I can get some more in –
Isaac Angel: Obviously, Noah, obviously, this will accelerate the growth of the company by these power plants.
Noah Kaye: Right. So on this prospect list, yes, it's very much weighted to the U.S. I don't see Kenya listed. I think you were reported as being bidders on the KenGen, 140-megawatt tender. Just kind of given the fact that you are expanding in the curtailments that you experienced there in KPLC's financial challenges. How are you thinking about your participation in that market at this point?
Isaac Angel: Okay. First of all, let's differentiate between the PTC initiative, which is solely in the U.S., of course, in the other countries, which are foreign countries. On the other countries, Kenya being one of them, obviously, we are experiencing curtailment today and we – and you're right, there is a certain issue. We are monitoring the situation. We will be – we are participating in the tender. But eventually, the management and the board will decide when and how much to invest in Kenya for excellence in build or not build those power plants.
Doron Blachar: Now, if I can add, the list of prospects, these are players that we actually have a land position. The tender in Kenya, it's a tender to be then maybe all also problem, but we don't have the land position. So it is not listed on the prospects here.
Noah Kaye: Right. So everything on the prospect slide is places where you've got the land concession?
Doron Blachar: Yes. Exactly
Noah Kaye: Okay. That's very helpful. Thank you.
Doron Blachar: Thank you, Noah.
Operator: [Operator Instructions] Our next question comes from Jeff Osborne, Cowen and Company. Please go ahead.
Jeff Osborne: Yeah. Good morning and congratulations on my end as well. Just a follow-up on Kenya. Can you talk about the receivables that are due from them as well as on door, is the situation getting better or similar to prior quarters?
Doron Blachar: It's – there is some changes there, I would say, on Kenya, the situation is quite similar. They keep on paying, they're paying, although they're paying a big delay, but they are constantly paying us. I don't remember the exact due date today, but in general, I think the longest is about 70 or 80 days. I think that the oldest one, but they keep on paying us. In Honduras, it's a bit of a more of a unique situation. They have been paying us constantly for the ongoing investors on time. And they are -- but there is an older debt that they haven't paid us and that is still open. But on the rest, they're paying us on time. On Honduras, what we did get, actually, we got an approval to sell an additional 3-megawatt to private customers. So that actually allows us to generate more electricity. The department can do and sell not to an electric company. And that, obviously, will be -- should be paid regularly from the private customer.
Jeff Osborne: That's helpful. I appreciate the detail there. A question on the guidance front. So the 140 to 150 you mentioned that there was a contract that it sounded like you were in late-stage negotiations and feel comfortable that, that would come through at some point early this year, I think is how you framed it. Is that award potentially shippable in 2020? And is that in the guidance for product revenue or not? I was a bit confused on the timing. It sounded like you would win it but it was unclear when the revenue would be?
Isaac Angel: Jeff, it's not in the numbers. Our backlog is contracts which are signed and somehow paid for. And that's why everything that is in the guidance is deliverable and billable. This contract that we're talking about is the larger contract that, if it will kick in, then part of it will be deliverable this -- delivered this year. I just said, we are recognizing percentage of completion, so it's not just a question of delivery. It's also a question how much work we've done today. So we do expect that if we win it, and it will be signed, and we will be able to represent revenue in 2020.
Jeff Osborne: Got it. That's helpful. And the last line of question I had was on the storage front, recognizing its small today, but certainly, the 150 to 200 megawatts of pipeline is impressive. I had a two-part question. One is that, can you articulate what size that would need to be, either in revenue or megawatts for that business unit to breakeven, was question one. And then question two is, just in the pipelines. I assume, it's all in front of the meter utility scale stuff, similar to what you're doing in California and Texas and New Jersey, but I was just curious what you're seeing in terms of the pricing environment for the 150 to 200 you're bidding or in the pipeline?
Isaac Angel: On your first question, we expect this segment to be positive on EBITDA this year. And the prices are -- it depends on the market and the services that we are providing. So it's very, very much -- but in general, if we're looking at the projects that we are building, our IRR just representing based on the prices that we have today are on low teens today and the geothermal power plant.
Jeff Osborne: Got it. That’s helpful. That’s all I had. Thank you.
Isaac Angel: Thank you, Jeff.
Operator: Next question comes from Ella Fried, Leumi Bank. Please go ahead.
Ella Fried: Hello, can you hear me? Okay. I would like also like to send the best wishes posed to Doron and Isaac and to wish them success. And the question I have, actually, could you please give us some details on short and long-term implications of the tax law reform, which I suppose we still – some of the effect is still there. Do you see any developments with the tax in the foreseeable future? And if not, could you give us some detail on it.
Doron Blachar: Hi, Ella, and thank you. The tax from….
Ella Fried: Hi, Doron and good luck.
Doron Blachar: Thank you very much. The tax reform is obviously a complicated reform. It would structure that might be simplier to U.S. companies, but international companies with operations globally. It has quite uniqueness. So we are working on them. Would say that we try to guide the market that the tax rate for next – the effective tax rate for next year would be between 30% to 40%. And I know it's a relatively large range. But at this stage, with the complication it has, that's the range that we are able to give.
Ella Fried: How much of it will be in the cash flow? Or how much of it would be deducted? And -- for how long do you have still as foreseeable from today's perspective, the tax credit and other assets that you could use in – if you could give us some kind of timeline?
Doron Blachar: Basically, we don't expect – most of this is accounting or actually booking tax entries. We don't expect to pay taxes in the U.S. until 2026 or 2027 or even maybe afterwards. And we are paying taxes in Israel. And we will probably start to pay taxes in Kenya, sometime in 2020. So overall, it should be in the range of $20 million to -- around $20 million, $25 million annually. But obviously, this is something that is subject to changes from the law, onetime events but the big part of the tax is the accounting.
Ella Fried: Thank you very much. This is really helpful.
Doron Blachar: Thank you, Ella.
Operator: This concludes our question-and-answer session. And I'd like to turn the conference back over to Mr. Isaac Angel for any closing remarks. Please go ahead.
Isaac Angel: Okay, guys. Thank you very much for participating. Thank you for your support as I'm going to be here for at least 2 more quarters. This is not a good bye yet. So you will hear from me yet in the upcoming quarters and then we will say goodbye. Thank you very much, again, and thank you for your support.
Operator: Conference has now concluded. Thank you for attending today's presentation. You may now disconnect.